Operator: Good afternoon, and welcome to HCI Group's Second Quarter 2021 Earnings Call. My name is Matthew, and I'll be your conference operator this afternoon. [Operator Instructions]. Before we begin today's call, I would like to remind everyone that this conference call is being recorded and will be available for replay through September five, 2021, starting later this evening. The call is also being broadcast live via webcast and available via webcast replay until August five, 2022, on the Investor Information section of HCI Group's website at www.hcigroup.com. I would now like to turn the call over to Rachel Swansiger, Investor Relations for HCI. Rachel, please proceed.
Rachel Swansiger: Thank you, and good afternoon. Welcome to HCI Group's [first quarter] (sic) second quarter 2021 earnings call. With me on today's call is Karin Coleman, our Chief Operating Officer; Mark Harmsworth, our Chief Financial Officer; and Paresh Patel, our Chairman and Chief Executive Officer. Following Karin's opening remarks, Mark will review our financial performance for the second quarter of 2021, and then Paresh will provide an operational outlook, and then we will take your questions. To access today's webcast, please visit the Investor Information section of our corporate website at www.hcigroup.com. Before we begin, I would like to take the opportunity to remind our listeners that today's presentation and responses to questions may contain forward-looking statements made pursuant to the Private Securities Litigation Reform Act of 1995. Words such as anticipate, estimate, expect, intend, plan and project and other similar words and expressions are intended to signify forward-looking statements. Forward-looking statements are not guarantees of future results and conditions, but rather are subject to various risks and uncertainties. Some of these risks and uncertainties are identified in the company's filings with the Securities and Exchange Commission. Should any risks or uncertainties develop into actual events, these developments could have material adverse effects on the company's business, financial conditions and results of operations. HCI group disclaims all the obligations to update any forward-looking statements. Now, with that, I would like to turn the call over to Karin Coleman, our Chief Operating Officer. Karin?
Karin Coleman: Thank you, Rachel, and welcome, everyone. It has been another productive quarter for HCI as we continue to execute on our strategic goals and position the company for long-term success. The second quarter was marked by several notable events. In June, we paid a $0.40 per share dividend, our 43rd consecutive quarterly dividend. At the insurance division, consolidated annualized gross premiums is approaching $600 million. We successfully restructured our reinsurance program by purchasing four separate reinsurance towers to reflect the operational separation of the two insurance companies with total costs within our expectations. Details were covered in our July 19 Form 8-K. We benefited from strong support by our long-standing reinsurance partners as well as participation from new reinsurance capacities. In connection with our ongoing transaction with United Property and Casualty Insurance companies, HCI entered into a new quota share of reinsurance agreement in June. As part of the transition of policies from UPC to HCI, we have agreed to provide 100% quota share reinsurance on all of UPC's in force new and renewal policies for four Northeast states. Under the new agreement, each of our insurance subsidiaries take 50% of the quota share business. We're close to finalizing all of the regulatory approvals to transact business in those four states, which also includes approvals of the transition of UPC policies to us. On our last call, we stated that TypTap was on track to reach its goal of $200 million by year-end. Well, because of its growth and inhibition of UPC business, TypTap has reached its goal well ahead of schedule by surpassing $200 million at the end of the second quarter. Also, the Florida legislature recently passed Senate Bill 76 with intent to curb claims and litigation of uses. And a lead up to this July one effective date of the law, similar to our peers, we did see an increase in litigation filings. However, post July one, we expect an improvement in litigation trends. At third quarter's end on July seven, Tropical Storm Alpha made landfall in a sparsely populated region of West Central Florida. Overall, we don't see Alpha as a significant event. At the real estate division, Greenleaf Capital, we continue to be pleased with our performance. All of our operating properties are generating a profit. We've had tremendous success creating shareholder value through these real estate investments. As a reminder, last year, we sold one of our properties for a gain of $37 million. And even with that sale, we still have over $30 million of unrealized gains in the real estate portfolio. And with that, I'll turn it over to Mark to discuss our financial results for the second quarter and first six months of 2021. Mark?
Mark Harmsworth: Thanks Karin. This was another strong quarter for us as we continue to build the business and invest in the future, while maintaining profitability, cash flow, surplus and liquidity positions. As we showed in the press release, diluted earnings per share were $0.24. This includes the impact of the preferred shares issued to Centerbridge, which I'll touch on again in a minute. Gross premiums earned this quarter were a record high. Earned premiums grew by about 29% from the same quarter last year and year-to-date are up 35%. We are driving growth on two fronts. First, we are using our strong surplus and capital positions to realize on strategic opportunities, like the one with UPC, transitioning policies from the Northeast business into our book. Second, we are continuing to drive voluntary growth through our technology-enabled platform, TypTap, which has experienced tremendous growth in conception. As of June 30, our consolidated annual run rate for premiums is about $585 million, which is up 60% from the end of 2019. We recently issued a press release showing our new reinsurance program. Net premiums ceded are expected to be about $207 million for the 12 months beginning June one, 2021. The increase from the previous contract year is driven by growth in both of our underwriters, TypTap and Homeowners Choice. Our results in Q2 reflect two months under the old reinsurance program and one month under the new. For the second half of the year, we expect premium ceded to be around 37%, which is three to four points lower than the second half of last year. Looking at the results this quarter, you'll notice that loss expenses are up from the second quarter of last year. This increase is a function of growth and product mix. The consolidated loss ratio of 40% is a little higher than the 37% from the second quarter of last year as growth is coming from products with slightly higher loss ratios than the traditional Homeowners Choice business. Having said that, everything is performing as expected. We continue to build reserves by expensing more than we are paying out. Net reserves are up $15 million so far this year. Policy acquisition expenses are also up significantly over the same period last year. And again, this is related to premium growth and product mix. The consolidated rate of about 16% is higher than the second quarter of last year as premium growth is coming from TypTap and the Northeast business, which both come with higher commissions. I wanted to make a few comments on cash flow and liquidity. Consolidated cash is up $195 million so far this year, about half of that is from the capital raise to support the growth in TypTap, but also cash flow from operations remained very strong. In the first six months of the year, cash flow from operations was over $95 million. At the holding company level, we have just over $55 million in cash and liquid investments and full access to the $65 million available on the credit line with Fifth Third. As you know, in February, we raised capital from Centerbridge in the form of preferred shares. Because of the way preferred shares are accounted for, while they're outstanding, they reduced earnings per share by about $0.25 to $0.30 per quarter. The details of that calculation are included in today's press release. However, since we don't consider the preferred shares to be a permanent part of our capital structure, we consider this a temporary impact. Just one more thing. I mentioned on the last earnings call that we have reorganized our segmented reporting. So, you can see the results of operations for each of our insurance operations as well as our real estate and corporate segment. This gives readers a better view into the way that we look at the business. Wrapping up, the company continues to grow. We are investing in the future, both cash and capital positions are strong at the insurance company and holding company levels. And with that, I will hand it over to Paresh.
Paresh Patel: Thanks, Mark. In previous earnings calls, we had predicted that TypTap in-force premiums would reach $50 million by the year-end of 2019. And obviously, we exceeded that. Then we told you that TypTap would be a $100 million company before the end of the year 2020, and we exceeded that. Finally, we said TypTap would reach the $200 million mark by the end of 2021. As Karin mentioned, annualized premium has already reached $200 million, several months ahead of schedule. Also, this time last year, we laid out a strategic plan and we thought it would be helpful to summarize where we stand today. First, we disclosed plans to expand TypTap out of Florida and we have achieved that. Currently, TypTap is actively riding in five states outside of Florida and has secured licenses in total of 15 states outside the State of Florida. Second, a year ago, we told you of our plans to reorganize our corporate structure and create a separate management team for TypTap. We have also achieved that. Late last year, we will reorganize and created the TypTap Insurance Group, which now has a separate workforce, separate management team, separate Board of Directors and a separate financial reporting structure. And as an example of the build-out of the TypTap management team, Ankur Bhandari recently joined the company as Chief Financial Officer, CFO. Prior to joining the company, Ankur, was CFO of Bolt Solutions. We are excited to have Ankur joined our team as we think his background in technology and insurance will be invaluable to TypTap going forward. Furthermore, Suela Bulku, who has been with HCI for over 10 years, has moved to TypTap as a Senior Financial Officer. Also in the second quarter, we added a new Head of Investor Relations for TypTap, Bill Broomall, who has joined from Dowling & Partners. And thirdly, we had said a year ago that we will disclosing plans to explore strategic alternatives, including securing outside investors to support our growth ambitions for TypTap. And obviously, we achieved that several months ago. As we discussed in our prior calls, in February of this year, we secured $100 million of equity capital for Centerbridge Partners. All of that recap brings us to today. Just prior to this call, we announced that TypTap Insurance Group submitted a Form S-1 draft registration statement confidentially with the SEC relating to a proposed initial public offering of TypTap's common stock. As many of you can appreciate, our comments going forward on this filing will be limited, but we are announcing the filing. To wrap up, we have always run the company with a long-term strategy in mind and have tried to be transparent and communicated with our shareholders. And as my earlier comments show, we have a track record of executing on our plans and we continue to look forward on continuing on that path. With that, we're now ready to open the call for questions. Operator, can you please provide the appropriate instructions?
Operator: [Operator Instructions] And our first question is coming from Matt Carletti of JMP Securities. Please proceed.
Matt Carletti: Hoping to ask you a few questions on TypTap, some numbers questions. Obviously, getting the $200 million run rate, a great accomplishment, congrats. What was the gross written in the quarter? And to the extent you can say anything about your expectations for the back part of the year, that would be helpful. I know you've said in the past, I think that you were a little more cautious around wind season, but any update you can provide would be helpful.
Mark Harmsworth: So, Matt, it's Mark. So, gross written premium for TypTap in Q2 was $60.7 million.
Matt Carletti: Anything you can add about kind of going forward or rather let that lie?
Paresh Patel: Matt, I think, as we've stated in the opening comments, TypTap ends up with about $60 million of business from the UPC transaction. There's about $150 million of organic growth that TypTap has already achieved, hence, of over $200 million. I think as you play out the rest of the year, we expect that $150 million direct division business to increase dramatically as we get into the fourth quarter. So, we're expecting, at this point, TypTap to, obviously, to be well north of $200 million by the end of the year.
Matt Carletti: And then, I mean, obviously, the other issue, I think in InsurTech broadly and actually came up on another company's call today centers around kind of cash flow profitability broadly. What did -- can you share what cash flows look like at TypTap, whether second quarter, year-to-date, just kind of give us a picture of how that stands?
Mark Harmsworth: Matt, it's Mark. So, I mentioned consolidated year-to-date cash flow from operations, which obviously was good and also positive in TypTap as well. For TTIG consolidated, I think our cash flow from operations was about $28 million for the first six months of the year.
Matt Carletti: Excellent. And then could you talk a little broadly about expenses? The number in the quarter look actually really good. But you mentioned Ankur and Bill and you look on LinkedIn or other places, it's clear that you guys are growing rapidly as you look to scale TypTap. What should we expect going forward in terms of investments on the -- to build the business?
Mark Harmsworth: Yes. I mean, if you look at labor expenses and operating expenses, they're up a little bit quarter-over-quarter. We've got some increases in salaries. We've got some increases in stock-based compensation, and you can see those increases in there. In terms of guidance going forward, I don't think we could give that. But it's really just increases in labor and operating expenses similar to what you saw in the second quarter.
Paresh Patel: Yes. Matt, a different way of saying what Mark just also said, we're clearly investing in the opportunity that TypTap is, and it will pay off in the long term, as it always has, yes. But in the short term, all the individuals mentioned above, I think, are a fantastic investment and asset to the company, not an expense.
Matt Carletti: Couple of numbers questions, Mark, and then I'll get out of the way. Do you have net written premiums for the whole company, HCI? And then do you have the TypTap surplus number at $630 million?
Mark Harmsworth: So net premiums written for the quarter, Matt?
Matt Carletti: Yes. Quarter would be great.
Mark Harmsworth: It was $138.5 million consolidated and TypTap surplus is about $44.5 million at the end of June.
Operator: [Operator Instructions] Our next question will come from Mark Hughes of Truist Securities. Please proceed.
Mark Hughes: Could you talk about the loss ratio in the quarter. Just maybe even roughly disaggregate what was the UPC impact the growth. I think you're reserving more conservatively on those newer policies. How much might have been the underlying loss trends? Would be curious to get some thoughts on that. And then how you see that playing out? What's the progression? What's the time period as you I think re-underwrite the book, raise prices, etcetera?
Mark Harmsworth: Mark, it's Mark. So, sort of starting big picture, if you look at the movement in the loss expense from the second quarter of last year to the second quarter of this year, premiums are up. Gross premiums earned are up about $32 million and the loss expense is up about $16 million. So, that incremental loss ratio is about 50%, which makes sense, if you think about that. The bulk of the growth is coming from the TypTap Homeowners product, which we talked about it before, but we're reserving at about 45% of that. And the rest of the growth came from the UPC Northeast business, which we're reserving at about 53%, 54%. So the growth is coming from a product that has a 45% loss ratio and a product that has, call it, a 55% loss ratio. So, a 50% incremental loss ratio just sort of makes sense. And that's kind of what I mentioned in my prepared comments when I said that it was basically growth in product mix. So, nothing really unusual going on there. If you look at it, I think the consolidated loss ratio for the quarter was about 40%, maybe 40.1%. If you look forward to the rest of the year, absent any cat, you would expect that consolidated rate loss ratio to be a little bit less than that. Second quarter is generally a little bit higher loss ratio than the third and fourth quarters, because you always get some weather in the second quarter, we had some weather in April. So, you'd expect that consolidated loss ratio to be a few points lower for the rest of the year, absent anything unusual. And then if you want to further break it down by line, I can go through that, but that might be a little bit more detailed than you're after. But I think that's sort of the big picture. The most important thing is the TypTap loss ratio with the Homeowners product around 45%, UPC around 53% and Homeowners Choice in that 25% range, a little bit higher than that in the second quarter because of weather, but that's sort of your expected loss ratio. So, that -- does that help?
Mark Hughes: Yes, that's super detail. When we think about next year, will the UPC be lower?
Paresh Patel: Let me take that one, Mark. We obviously would like to think it would be, but there's so many transitions that book is about to go through, but I think we would keep the number the same until we have compelling evidence to make it different.
Mark Hughes: And then what's your latest view on the legislative changes? You alluded to the fact that they've kicked in here recently. What's your latest view on how much impact those might have?
Karin Coleman: It's a little bit early for us to be able to tell. Obviously, we know what the legislature's intent was and we're looking forward to that intent to come forward. We did pull some of the July numbers from the preset demand plus the actual suit curve. And currently, they appear to be down about 50% from July of 2020. Keeping in mind the Senate Bill 76 deals with -- doesn't include the AOB suit. So, we're just talking about the other streets that are coming in. So, I mean, we're cautiously optimistic, but still too early to tell.
Operator: Thank you. There are no further questions in the queue at this time. [Operator Instructions]
Rachel Swansiger: At this time, this concludes our question-and-answer session. On behalf of the entire management team, I would like to thank our shareholders, employees, agents and most importantly, our policyholders for their continued support. We look forward to updating you on our progress in the near future.
Operator: Thank you for joining us today on our presentation. This conclude today's call. You may now disconnect.